Operator: Good morning, ladies and gentlemen, and welcome to the Genco Shipping & Trading Limited Third Quarter 2015 Earnings Conference Call and Presentation. Before we begin, please note that there will be a slide presentation accompanying today's conference call. That presentation can be obtained from Genco's website at www.gencoshipping.com. To inform everyone, today's conference is being recorded and is now being webcast at the company's website, www.gencoshipping.com. We will conduct a question-and-answer session after the opening remarks instructions will follow at that time. A replay of the conference will be accessible at any time during the next two weeks by dialing 888 203-1112 or 719 457-0820 and entering the passcode 7273462. At this time I will turn the conference over to the company. Please go ahead.
Unidentified Company Representative: Good morning. Before we begin our presentation, I note that in this conference call, we’ll be making certain forward-looking statements pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements use words such as anticipate, budget, estimate, expects, project, plan, intend, believe and other words and terms of similar meaning in connection with a discussion of potential future events, circumstances or future operating or financial performance. These forward-looking statements are based on management's current expectations and observations. For a discussion of factors that could cause results to differ, please see the company's press release that was issued yesterday, the materials relating to this call posted on the company's website and the company's filings with the Securities and Exchange Commission, including, without limitation, the company's Annual Report on Form 10-K for the year ended December 31, 2014, as amended and the company's subsequent reports filed with the SEC. At this time, I would like to introduce John Wobensmith, the President of Genco Shipping & Trading Limited.
John Wobensmith: Good morning. Welcome to Genco’s third quarter 2015 conference call. With me today is our Chairman, Peter Georgiopoulos; and our Chief Financial Officer, Apostolos Zafolias. As outlined on slide three of the presentation, I will begin today's call by reviewing our third quarter highlights. We will then discuss our financial results for the quarter and the industries current fundamentals and then open up the call for questions. Beginning on slide five, we review Genco’s third quarter and year-to-date highlights. During the third quarter, we continued to operate in a challenging drybulk market and recorded a net loss of $66.3 million or $0.95 basic and diluted loss per share for the period ended September 30, 2015. We have continued to take steps to enhance our liquidity position during the third quarter and year-to-date. On November 4, 2015 certain of the company’s wholly on subsidiaries entered into a facility agreement for a secured loan facility with a term of approximately 5 years. The company expects to complete the funding of approximately $98 million under the facility on November 10, 2015. The facility has no fixed amortization payments for the first two years and fixed amortization payments of $2.5 million per quarter thereafter subject to prepayments based on our value to loan ratio. The facility is subject to customary closing documentation and conditions. As we discussed on our second quarter call in July, we completed amendments under each of our Baltic Trading Credit facilities obtaining relief under the cloud of maintenance covenant and relevant consents for the merger. Additionally, we completed our Ultramax newbuilding program by taking delivery of the Baltic Scorpion in August and the Baltic Mantis in October. Both vessels commenced spot market related time charters of 14 to 18.5 months with recordable charters upon delivery to the company. In terms of our cash position as of September 30, 2015 we had $54.5 million in cash including restricted cash. In July, we completed our merger with Baltic Trading Limited achieving a major milestone for both companies and strengthening the combined company’s ability to deliver superior long term value to shareholders. By merging with Baltic Trading we have increased the scale of our operating platform and believe we have enhanced our commercial prospects as well has created a stronger, global competitor in the drybulk industry. Turning to slide 6 and 7 we provide an overview of our fleet with delivery of the last two of our Ultramax and newbuildings Genco’s fleet consists of 70 drybulk vessels made up of 13 Capesize, 8 Panamax, 4 Ultramax, 21 Supramax, and 6 Handymax and 18 Handysize vessels with a total carrying capacity of approximately 5.2 million deadweight ton. At this time, I will turn the call over to Apostolos.
Apostolos Zafolias: Thank, John. Turning to slide 9, our financial results are presented, which are shown on a consolidated basis, including Baltic Trading Limited. We also present a consolidated income statement, breaking up the contribution of Baltic Trading from July 1 to July 17 2015 on slide 10. Before I discuss the results I would like to reiterate that as of July 9, 2014, following the completion of the company’s restructuring, Genco adopted and applied fresh start accounting provisions to its financial statements. The company’s assets and liabilities were recorded at their fair value as of the fresh start reporting date, which deferred materially from the recorded value that’s reflected in the historical consolidated financial statements. As a result of the adoption of fresh start reporting, the company’s consolidated balance sheets and consolidated statements of operations subsequent to July 9, 2014 will not be comparable in many respects to our consolidated balance sheets and statements of operations prior to July 9, 2014, as further discussed in our SEC filing on forms 10-K and 10-Q. For the three months ended September 30, 2015, the company generated revenues of $50 million. This is an increase of $1.2 million compared to the three months ended September 30, 2014. The rise was primarily due to the increase in the size of our fleet following the delivery of three Ultramax newbuilding vessels offset by lower rate achieved by the majority of the vessels and our fleets during the third quarter of 2015 versus the same period last year. Through the first nine months of 2015, revenues decreased by $46.2 million to $119 million when compared to the same period of 2014 due to lower spot market rates achieved by the majority of our vessels partially offset by the increase in our fleet. For the third quarter of 2015, the company recorded a net loss of $66.6 million or $0.95 basic and diluted loss per share. Excluding the $32.5 million impairment of Jinhui Shipping & Transportation Limited and $6.9 million of merger related expenses included in G&A basic and diluted loss was $27.2 million or $0.39 basic diluted loss per share. The net loss for the nine months ended September 30, 2015 was $145.4 million or 229 basic and diluted loss per share. Turning to slide 11, we present key balance sheet items as of September 30, 2015. Our cash position, including restricted cash was $54.5 million as of September 30, 2015. Additionally, we had availability of $22.9 million and our $60 million revolving credit facility as of the end of the third quarter. Our total assets were $1.6 billion, which consisted primarily of our fleet and cash. Our total debt outstanding was $462.3 million as of September 30, 2015. As John mentioned, we took steps to enhance our liquidity positions, specifically we entered into a new credit facility under favourable terms including our repayment structure with no fixed amortization payments for the first two years and fixed amortization payments of $2.5 million per quarter thereafter subject to prepayment based on our value to loan ratio. Borrowings under the facility maybe used for working capital purposes and bear [ph] interest at three month LIBOR plus a margin of 6.125%. Additionally we completed amendments under each of Baltic Trading Credit facilities obtaining relief under the collateral maintenance covenant and relevant consent for the merger during the third quarter. Moving to slide 12, our utilization rate was 98.9% for the third quarter of 2015, the same as in the year earlier period. Our TCE for the third quarter was $7,009 per vessel per day. This compares to $7,696 per vessel per day recorded in the third quarter of 2014. The decrease in TCE was primarily due to lower spot rates achieved by the vessels in our fleet as well as an increase in voyage expenses during the third quarter of 2015, versus the third quarter of 2014. For the third quarter of 2015, our daily vessel operating expenses were $4,997 per vessel per day versus $4,965 per vessel per day for the third quarter of 2014. The daily vessel operating expenses for the nine months ended September 30, 2015 were $4,841 per vessel per day versus $5,101 per day for the nine months ended September 30, 2014 due to lower insurance stores and maintenance related expenses. We believe the unit vessel operating expense that are best measured for comparative purposes over a 12 month period in order to take into account all of the expenses about 8 vessels in our fleet will incur [ph] over a full year of operations. Moving to slide 13, we present our estimated daily expense levels for the fourth quarter of 2015. Our daily vessel operating expense budget for the quarter is $5,320 per vessel per day. Our estimated daily expenses on a free cash flow basis are forecast to be $9616 per vessel per day while net income expenses are estimated to be $11,546 per vessel per day. I will now turn the call back to John to discuss our industry fundamentals.
John Wobensmith: Okay, I’ll start with slide 15 which represents the Baltic Dry Index. The Baltic Dry Index continued to demonstrate considerable volatility throughout the third quarter of 2015. The BDI rose by 54% from the end of the second quarter to reach a year-to-date -- of 1,222 on August 5 before falling to a low of 802 on September 15. Within the next week the BDI jumped 22% to hit 978 on September 21. Capesize freight rates witnessed the greatest fluctuation nearly reaching the 20,000 per day mark in early August before retreating to lower levels during the remainder of the quarter. Turning to slide 16, we outlined some of the recent developments driving the volatility and freight rates. We believe the rise in capsize rates during July and early August was due to augmented Chinese iron ore fixture activity particularly from the longer [Indiscernible] origin of Brazil. This fixture activity subsided starting in mid August but re-emerged briefly in September. While Chinese iron ore import volumes increased during the third quarter, shipments remained flat through the first nine months of 2015. September’s imports marked the third highest iron ore import total on record. This led port stock piles to arrive to 84.5 million from a 2015 low of 77.2 million tons in June. Greater inputs into China were supported by firm international order availability specifically during the quarter higher Brazilian ore exports emerged as is seasonally the case. Brazil shipped 96.2 million tons of iron ore in the third quarter of 2015 compared to 88.5 million tons the previous quarter while the average monthly volume was 32.2 million tons from July to September versus 28 million tons during the first half of the year. More recently overall iron ore fixture volume has remained low thereby pressuring rates. This reduced activity maybe contributing to iron ore prices dropping below $50 per ton after remaining mostly stable throughout the third quarter. Despite this decline in price the major iron ore miners as portrayed on slide 17 have continued to increase output capacity today, specifically due to productivity gains, Vale was able to produce the most amount of ore in the company’s history while output from BHP, Rio and Fortescue increased in aggregate of 9% year-over-year. Of now, Brazil and Australia continue to gain Chinese iron ore market share as the reduced ore prices led to the displacement of many mine or sea borne exporters. The two currently hold 83% of the Chinese ore market which is a rise from 77% in 2014 and 70% in 2013. Turning to slide 18, we believe a significant factor impacting the lack of growth in the Chinese iron ore trade in 2015 to date is a slowdown in domestic steel production. Through the first nine months of 2015 Chinese steel output is down by 2.1% year-over-year including a 3% year-over-year drop in September. An oversupply of steel coupled with declining domestic demand has led steel prices to fall by nearly 35% since the start of the year shrinking the margins at steel mill. Recently, however with the decline in the price of iron ore, steel mills maybe able to benefit due to the lower cost of raw material inputs in the production process. The increase competitiveness of Chinese steel products in terms of pricing in the international market has bolstered exports so far in 2015 leading to a sharp expansion of shipments out of China. Steel exports through September are up by just under 30% year-over-year including a record of 11.3 million tons shipped in September. Strong exports have also been a driver in reducing Chinese steel stock pile to very low levels as destocking intensified during the third quarter. As reflected on slide 19, Chinese coal inputs continue to negatively impacted by protection policies implemented by the Chinese government to aid domestic coal miners. Chinese coal import have declined by almost 30% year-over-year through the first nine months of the year. However, slower hydropower production and continued demand in China has resulted in Q3 2015 representing the most coal imported in a quarter since the fourth quarter of 2014. Chinese coal power plant stock piles remained 21% lower than they were a year ago at this time but had been on the rise in preparation for peak winter demand season during which hydropower outlet tends to fall. Coal inventories currently stand at 73.5 million tons, 18.5 million tons higher than the 2015 low recorded in May. India’s coal imports in the year-to-date have been able to partially offset the decline in the Chinese coal trade; however import growth has recently eased partially due to inventory de-stocking. On a positive note, India’s coal power plant stock piles currently stand at the lowest point since March and are 23% below the peak in July. Furthermore, electricity output in September and October has registered sharp year-on-year increases of 11% and 9% respectively meaningfully above the growth rate through the first eight months of the year. We note that while the market has continued to display volatility over the past three months, a relative pickup in the Chinese housing sector further infrastructure projects and monetary easing on the part of the Chinese government could deposit the catalyst going forward. Additionally, iron ore volumes from Brazil has historically increased during the fourth quarter while the North American grain season is expected to commence as well. Turning to slide 20, we detailed key supply side fundamentals. A key action undertaking by owners during the years has been the lack of newbuilding ordering that is materialized, that's contracting activities down 74% through the first nine months of the year as compared to the same period of 2014. The slowdown in ordering as well as conversions of existing orders to other Maritime segments has resulted in the order book falling to 18% of the current fleet, which is the lowest percentage in over a decade. Of this 18% its still remains to be seen what will actually be delivered. Moving to slide 21, we note that the vessel demolishing activity is subsided from the firm phase established during the first half of 2015. Average monthly scrapping during the third quarter amounted to 1.2 million deadweight ton compared to 3.4 million deadweight ton from January to June. While owners have responded to market conditions through several supply side measures such as limited ordering and conversions of the existing tonnage in the order book as previously mentioned in addition to delaying newbuilding deliveries, vessel scrapping remains the main driver of controlling fleet growth and raining in excess supply. Irrespective of the easing pace of demolishing, the year to-date total vessels scrapped is 25.3 million deadweight ton. This total still remains nearly twice as much as what was removed from the fleet during the same period of 2014 and compares very favorably to the 166.3 million deadweight ton that was scrapped in all of last year. We point out the scrapping within the Capesize sectors been the most prevalent as more than half of the total tonnage removed has been from this vessel class, a record 84 Capesize vessels have been scrapped in the year to-date which surpass the previously high as 70 vessels set in 2012. In conclusion, we note that regard to the industry's current supply side fundamentals we believe scrapping, slippage and cancellation or additional conversions of newbuilding contracts are all essential components of reducing supply growth, which could lead to a more balance supply and demand equation going forward. This concludes our presentation. And we would now be happy to take any questions.
Operator: [Operator Instructions] We'll go first to Doug Mavrinac with Jefferies.
Doug Mavrinac: Thank you, operator. Good morning, guys. I just had a few follow-up questions for you all this morning. First, as it pertains to the market, John, you talked about the volatility that we saw this year, as it pertains to rates raising and then following both quite dramatically. My question is, what is that volatility tell you in terms of how far we are away from maybe a better balanced market?
John Wobensmith: Look, I mean, the positive news is that the market is reacting to cargo flows, which I think as we've said before it's been a while since we've seen that.
Doug Mavrinac: Right.
John Wobensmith: What's really going on here, Doug, we obviously something unusual this year where you had iron ore import move up during the summer months. I'm sure everyone is aware. It's usually a seasonally a slow period, and that really leads Capesize market firming. On the negative side what we've seen is obviously the coal coming – really slowing down significantly. That has really hurt. And then while the iron ore measures have done everything they said they were going to do in terms of volume increases; because of where the price of iron ore has gone on the downside, it is really cut out a lot of the higher expense marginal producers. So, we basically had sort of flat demand growth going into China.
Doug Mavrinac: Got you, got you. And I actually -- touch on a topic I wanted to get in a second. When we look the drag that a coal market has been, I mean you've talked about how we down 30% year-over-year, clearly we can't continue to go down 30% each and every year. So to the extent that we maybe start to flat line, you know because we just point where they've got to take on a certain amount of coal. When these exactly be? I mean do you think that we're kind of getting to that point where we're getting to – okay, this is how much I got to bring on or do you think there could be the potential for further big declines going forward and as it pertains to coal mine demand in particular?
John Wobensmith: Look, its tough to tell what the Chinese government going to do. What's going right now is clearly protectionist, because the coal that is coming out of Australia is much higher quality than what they have on the domestic side as it pertains to sulfur and ash which Chinese government says they've really focused on environment and keeping pollution down more than should really be importing more Australian ore. So it is protectionist, but I think if you call to really say what the government is going to do going forward, the tariff that are in place on the thermal coal side still have another I think eight months or so to run. They remove the tariffs from the coking coal side. But I think you stop. Look on the positive side you have India that has I would say outperform on the import side, and while domestic production in India has continue to move up, it still well below the targets that the government has set. And you got to keep in mind that a lot of these power plants that were build on the coast in India, they were purposely build with facilities to import coal.
Doug Mavrinac: Right, right.
John Wobensmith: So, that somewhat of the replacement if Chinese coal continues to fall.
Doug Mavrinac: Right. So you're putting all that together, I mean, we're seeing volatility which tells me that we're not far away from a pretty balance market, if you can get a reaction rights to increasing cargos. And also you're getting to this point where they just like I said, they can't keep cutting. So yes, even though the market is weak it just doesn't seem might go that far away. As it pertains to the supply side, I mean, obviously the market itself has been weak, but there was underline supply demand fundamentals. The supply side actually has been a bright spot. I mean, when we were going forward and we look at the profile of the fleet and we look at the order book et cetera, I mean, do you think we could see even further minimal net figure to the extent that we saw this year going into 2016, 2017?
John Wobensmith: Look, my view is there are still plenty of ships to scrap in all sectors. I think that where rates are right now you're going to see scrapings pick back up again. I think someone – I think there was report of a Capesize being scrapped yesterday. So I do think there's more scrapping to come. I think its going to pickup. I think they are still going to be more cancellations, that 18% of the fleet order book we feel there is you know there is probably it could be 20% of that order book that just doesn't appear.
Doug Mavrinac: Right.
John Wobensmith: Lot of that – they were not lot but some of them was ordered previous to 2013, probably we want up here. Look, overall I don't think our message has change. We still think 2016 is going to be a volatile year and probably not look for a true recovery and so you're going into 2017 and that supply-related more than anything else.
Doug Mavrinac: Right. Got you. And then just final question and this pertains to you guys on particular. I mean, I know that you guys can talk about NAVs and things like that, but compared to our NAV estimate, your shares are trading at a pretty big discount, despite having relatively low financial leverage. So, as it pertains to kind of what people maybe worried about, can you talk about maybe what your amortization schedule is for the next year and a half? Can you talk about any convenience that may require attention? Can you talk about those things that related to kind of what some of your commitments are?
John Wobensmith: Yes. I mean, Doug, let me answer something just a little bigger and let Apostolos go through some of the covenant things. But look, we agree, the stock price is shrinking at a significant discount through its net asset value and I mean, significant discount. It is very hard to comprehend particularly because of the runway that we have. That's obviously one of the major things that investors look out with any of these companies right now and I think we demonstrated that we still have the ability to raise financing and we've extended the runway even further at Genco. So, why the stock is where it is. One can only speculate but it does seem like maybe there is some large holder out there that is selling for who know why, your year end, your year end tax reasons, you never know why people do what they do. But the stock is trading it's significantly discount. But let me turn it over Apostolos to go through some of the covenant things.
Doug Mavrinac: Okay.
Apostolos Zafolias: Yes. As far as the amortization goes it, we don't expect any major changes that what we already had even after facing this facility, putting in place this facility. Our amortization for the third quarter was about $12.2 million and going forward we expected to be around $13 million on a quarterly basis. The other important thing to point out is overall the way that the company has been set off, the breakeven expenses at $9,600 per day all in that's including amortization, interest expense and operating expenses and G&A which we believe it is favorable to some more peers.
Doug Mavrinac: Right. That's all very, very helpful. Thanks for the time guys.
John Wobensmith: Thank you, Doug.
Operator: We'll go next to Magnusaar [ph] with GMP Securities.
Unidentified Analyst: Yes. Good morning. Just couple of questions here. First on, I mean, you provide a very nice detail on your cash breakeven expenses. I guess based on those and current quarter you burning about $2500 per day. Into the fourth quarter can you provide any flavor, I know the rates have been very volatile, but what's the current run rate for the fleet through October that would be very helpful?
John Wobensmith: Run rate of what magnitude.
Unidentified Analyst: Just on the revenues per day, I mean, you had 7,000 a day for third quarter you had 5,000 in the second quarter I know rates been volatile, but how is October looking?
John Wobensmith: I mean, look, its all going to depend to the BDI. Our exposure is what we don't usually get forward guidance and earnings. I'll give you the breakeven level is at $9,600 based on today's rate we guess we're about $6,000 in a weighted average based across the fleet on earnings.
Unidentified Analyst: Right. I don't know if you…
John Wobensmith: You could see in the presentation all of the charter information that is in here, so its pretty straightforward to get to particular with having the breakeven slide here at your disposal.
Unidentified Analyst: Right. So based on that $9600 number, I mean, you're burning about $64 million a year, so with this new facility in place, you should have a runway well into 2017. But I guess if rates deteriorate further I guess that's another question. What are the steps can you do to improve liquidity going near term? Or you feel comfortable with those cash position now?
John Wobensmith: I think right now, we feel comfortable with what we've done. I mean, you got to keep in mind Magnus unlike most of our peers we don't have these big CapEx programs where we're sitting there watching what vessel values do on the edge of seat because of potential funding shortfalls. We don't have any of that. Everything is on the water and the only CapEx we have are related or is related drydocking, I think that's in this market that's a big thing, big positive.
Unidentified Analyst: Right. And I guess with the new facility your leverage going to about 35%. Do you feel like you have additional capacity there to take it up higher if needed?
John Wobensmith: Yes. I would say, there is probably some additional capacity, but like I said what we've done at this point, we're happy with it, particularly in this market it’s a not easiest market to raise debt particularly related to drybulk assets.
Unidentified Analyst: All right. That's good. Thanks.
Operator: We'll go next to Amit Malhotra with Deutsche Bank.
Amit Malhotra: Hey, thank you guys. Good morning. I just wanted to go back to that discount to net asset value question. And it doesn't make entire sense to me that its purely technical in terms of pressure because there's a lot of other drybulk companies that have bigger fleets that are on the water with more consolidated share capital basis that are trading at a significant premium relative to where you guys, still at a discount. And so, I don't know, I totally understand if its just technical and so clearly the markets taking a view on something and I just wanting to ask in terms of the amortization payments relative to the cash balance, you guys have a pretty big fleet, is there any minimum liquidity covenants or liquidity per ship that you guys need to keep on the balance sheet either into quarter or at end of any period, can you just provide us with that number?
John Wobensmith: Sure. On an overall basis we're at about $52 million on a corporate minimum liquidity covenant.
Amit Malhotra: Okay. So.
Apostolos Zafolias: So I think you're basic premise wrong. If you have a share that trade 100,000 shares a day and you've got so much [Indiscernible] 5 million shares your stock is going to get pounded. So, when we look at our stock we look at the position that companies in. We look at what we just did this week. We feel like we're in a very strong position. There is nothing, I mean, you're obviously intimating that is something behind the scenes and I think you're 100% wrong.
Amit Malhotra: No, I'm sorry if that -- I apologize if that's the message I'm trying to convey. I'm just trying to say that you know the market is clearly expressing a different view. And maybe they're not, but that just seems like the case. And so if you have sort of minimum liquidity covenants of $52 million and your cash balance at the end of the September was $54 million and you have $30 million of amortization payments every quarter and you're sort of at breakeven levels in terms of TCEs and expenses. Where is the additional liquidity going to come from?
John Wobensmith: We just did $98 million.
Apostolos Zafolias: And we also have another $20 million under our revolving credit facility as of September 30.
Amit Malhotra: Got it. Okay. Okay, guys, that's all I have. Thank you very much.
John Wobensmith: Okay.
Operator: At this time, there are no further questions. This concludes the Genco Shipping conference call. Thank you and have a nice day.